Operator: Greetings and welcome to the Equity Commonwealth fourth quarter 2016 earnings conference call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Sarah Byrnes, Vice President, Investor Relations. Thank you. You may begin.
Sarah Byrnes: Thank you Christine. Good morning and thank you for joining us to discuss Equity Commonwealth's results for the year and quarter ended December 31, 2016. Our speakers today are David Helfand, our President and CEO, David Weinberg, COO and Adam Markman, CFO. Please be advised that certain matters discussed during the conference call may constitute forward-looking statements within the meaning of Federal Securities Laws. We refer you to the documents that we file from time-to-time with the SEC, which refer to risk factors that could adversely affect the company's operating results and financial condition. The company assumes no obligation to update or supplement any statements made today that become untrue because of subsequent events or otherwise. Today's remarks also include certain non-GAAP financial measures. Please refer to yesterday's press release and supplemental containing our fourth quarter and full year 2016 results for a reconciliation of these non-GAAP performance measures to our GAAP financial results, which is available on our website. With that, I will turn the call over to David Helfand.
David Helfand: Thank you Sarah. Good morning and thank you for joining us. I will begin with brief comments on market conditions and then provide an update on our 2016 accomplishments and address our 2017 priorities. The U.S. economy grew 1.9% in the fourth quarter, resulting in 1.6% GDP growth in 2016. The year produced a slower rate of growth than the 2.4% achieved in 2015 and represents a continuation of the sluggish pace of expansion of the past seven years with GDP growth averaging just 2.1%. The recent U.S. election and the likelihood of substantial policy changes has elevated the degree of uncertainty surrounding the economy's outlook. Market reaction so far has been bullish. Since the November election, the 10-year treasury has risen 66 bips to 2.5% and the S&P 500 is up 11%. REITS have lagged the broader market pricing 6% In terms of U.S. office fundamentals, 2016 was a decent year. National rent absorption totaled 80 million square feet, about 20% lower than the prior year. Rents grew 3.2%, a slower pace than 4.4% achieved in 2015. Improvement in occupancy and rents is likely to continue to moderate in 2017 with the projected delivery of 90 million square feet of new supply, a 50% increase over 2016. Switching to the real estate capital markets. In 2016, transaction volume was healthy but did decline about 10% than the cyclical peak in 2015. Investment sales market seems to have settled into a slower pace. Higher borrowing costs, fewer bidders and less aggressive underwriting is translating into fewer completed transactions less [indiscernible] asset pricing particularly outside the gateway markets. At EQC in 2016, we continued to make progress repositioning the company. Our emphasis on active asset management haled to strong leasing results and execution on dispositions. Leasing in 2016 totaled 3.2 million square feet with 1.4 million square feet signed in the fourth quarter. These efforts have mitigated expiration risk, extending term and led to substantial value creation. In 2016, we sold 1.3 billion of property in 19 transactions. In the fourth quarter we completed three sales totaling $118 million and last month sold one asset for $60 million. I will briefly cover details of these recent deals. We closed on the sale of 7800 Shoal Creek, a 100% leased 152,000 square feet office building in suburban Austin for $29.2 million. Pricing was in the mid-7% cap rate range. We sold 1200 Lakeside Drive, a 260,000 square feet 100% leased single-tenant office building in Bannockburn, Illinois for $65.3 million with pricing in the low-7% cap rate range. We also closed on 6200 Glenn Carlson, a 338,000 square feet 100% leased industrial building in St. Cloud, Minnesota for $23 million. Pricing was in the 7% cap rate range. And finally, subsequent to quarter-end, we sold 111 Market Place, a 589,000 square feet building in Baltimore for $60.1 million. Pricing was in the low-5% cap rate range, which includes adjustments for the scheduled move out and partial backfill of the property's largest tenant. We currently have eight properties totaling approximately 3.5 million square feet in the market for sale. Since taking responsibility for EQC, our team has completed $4.2 billion in total dispositions. We started with the goal of repositioning the portfolio that just two years ago totaled 156 properties and 43 million square feet. Today, we own a better and more concentrated portfolio of 32 properties comprising 15.5 million square feet. Two years ago, our five largest markets, Philadelphia, Chicago, Denver, Austin and Bellevue represented 40% of annualized rental revenue. Today, those markets account for over 70% of ARR. We have made meaningful progress in rationalizing the company's footprint through dispositions of unwanted assets and improved the physical quality of our portfolio as well as the attractiveness of the markets we do business in. With the success we have had at execution of dispositions and the strength of liquidity of our balance sheet, we are in position today to increasingly shift our focus to capital allocation. To that end, we have completed the conversion to an UPREIT in the fourth quarter, enabling us to acquire assets in a tax efficient manner. Continued repositioning of the company going forward will be a more balanced effort between leasing assets to create value, selling assets when we are able to achieve attractive pricing and evaluating the wide range of opportunities to deploy capital. Finally, I would like to acknowledge the commitment and hard work of the EQC team. 2016 was a productive year for us and we continue to focus on long-term value creation going forward. With that, I will turn the call over to David.
David Weinberg: Thank you David and good morning everyone. I will begin by reviewing our fourth quarter and full year leasing activity and provide an update on our five largest markets. Then I will give an overview of our leasehold through 2018. Our same property portfolio was 91.2% leased at the end of the fourth quarter, up 30 basis points from the third quarter and down 70 basis points from a year ago. During the fourth quarter, we signed 1.4 million square feet of leases including 220,000 square feet of new leases and 1.2 million square feet of renewals. Our largest lease during the quarter was an early 10-year renewal of a 1.1 million square foot at Research Park in Austin. Our largest new lease during the quarter was a 76,000 square foot 15-year deal at 8750 Bryn Mawr in Chicago's O'Hare submarket. For the year, on a same property basis, we signed 3.2 million square feet of leases representing 20% of our portfolio. This consists of 864,000 square feet of new leases and 2.3 million square feet or renewals. For leases signed this quarter, rental rates increased 20% on a GAAP basis and 7% on a cash basis. For the year, they increased 11% on a GAAP basis and were flat on a cash basis. Overall, leasing fundamentals of our five largest markets are good. Demand in Austin kept up with supply with 2016 net absorption of 1.7 million square feet. This market ended the year with a vacancy rate of 9.2%, 40 basis points lower than a year ago. The vacancy rates in Bellevue, Chicago and Philadelphia are all around 11%. This new supply in Bellevue is being absorbed and this market's outlook has much improved from a year ago when the 323 Tower is totaling 1.5 million square feet were under construction. These buildings are now at about 70% and most of this occupancy is from new and growing tenants. Chicago had a good year with 2016 net absorption of 1.4 million square feet. The CPD is still benefiting from immigration of suburban tenants. Looking ahead, it is likely that Chicago will soften given the growing availability of quality sublease space and over four million square feet of new construction delivering in the next two years. Philadelphia continues to do well. Net absorption in 2016 was about 345,000 square feet and the market is also benefiting from the immigration of tenants which represented about 20% of leasing activity over the last years. At 1735 Market Street in Philadelphia, we signed 130,000 square feet of new leases in the fourth quarter, bringing the full year to 200,000 square feet. This property's leased occupancy was 74.4% in the fourth quarter which is 760 basis points higher than the third quarter. Denver's vacancy rate remains around 15%. As we have previously discussed, this market has been impacted by new supply and the downturn in the energy sector. 17th Street Plaza, a 670,000 square feet office tower in Denver, has 137,000 square feet of space to lease. This property is one of the top buildings in a competitive market and we will be aggressive to get deals done. Finally, I would like to comment on our lease roll in 2017 and 2018. This year we had 874,000 square feet of rolling and expect to get 60% of it back or 3.7% of our leased square footage. Most of these known vacates are front-end loaded and we expect our leased occupancy to be lower next quarter. Through the end of this month, we will get back about 370,000 square feet, including 179,000 square feet in Ann Arbor and 73,000 square feet in Denver. We also got back 48,000 square feet in Downtown Austin. So we assigned a 21,000 square feet lease to backfill a portion of this space. In 2018, excluding the recently sold 111 Market Place, we have 750,000 square feet rolling or 5% of our leased square footage. As mentioned on our last call, in October 2018, Amity Bank will vacate 211,000 square feet at 25,000 Charles in Baltimore. The balance of 2018 roll consists of spaces less than 40,000 square feet. Turning to this year. Our focuses are the same. We want to lease space and continue to reach out to the leasing community, emphasizing our responses and speed of execution. We are working to reinvest in our properties where it is necessary to maintain a competitive position where we see an attractive returns on investments. We will continue to review our portfolio for disposition opportunities taking into account pricing and the risk profile of each assets. As David referenced, today we have a higher quality of portfolio in fewer and better markets that we expect will provide greater rent growth and stability going forward. In the last two years, we have made a lot of progress and we look forward to continuing these up in 2017. With that, I will turn the call over to Adam.
Adam Markman: Thanks, David. Good morning. I will review our financial results for the quarter and year. FFO was $0.22 per diluted share in the quarter compared to $0.25 in 2015. Normalized FFO was $0.23 per share compared to $0.27 a year ago. This decrease in normalized FFO was primarily due to success of our disposition program, partially offset by lower preferred dividend distributions following the Series E redemption, interest expense savings from debt repayments and an increase in lease termination fees. Disposition activity alone would have cost an $0.18 per share decrease in normalized FFO. Savings from retirement of debt and preferred and higher interest income from our significant cash balance offset the majority of this decline. FFO for the full year was $1.13 per diluted share compared to $1.53 in 2015. Normalized FFO was $1.18 per share compared $1.70 the prior year. The explanation for the decrease in normalized FFO mirrors the fourth quarter, a decrease from property sales, partially offset by interest expense savings from debt repayments and lower preferred dividend distributions. Same property NOI was up 13.9% in the fourth quarter, compared to a year ago. The growth was driven by higher rental revenue, a significant portion of which was due to an increase in lease termination fee income. Same property cash NOI, which excludes lease termination income, increased 5.1% when compared to the fourth quarter of last year. The increase was largely due to rental income from leases coming out of free rent and contractual rent bumps. For the full year, same property NOI was up 3% and same property cash NOI declined 2.7%. Neither cash nor GAAP NOI currently reflects an additional 400,000 square feet of new leases which have recently been signed but have not yet commenced. Most of this space will take occupancy towards the second half of the year with the balance coming in 2018. Additionally cash NOI does not yet include revenue from approximately 750,000 square feet of leases in free rent periods during the quarter. Looking forward free rent will increase in 2017, largely as a result of the 1.1 million square feet renewal that was signed in the fourth quarter. The combination of rising free rent and known move-outs in the first quarter of 2017 will weigh on NOI for the year. Moving to dispositions. We sold $1.3 billion of properties in 2016. These sales generated a taxable gain which was offset by a portion of our net operating loss carry forward. As a result, no common share dividend is required or will be paid for 2016. We continue to improve our balance sheet. In the fourth quarter, we prepaid $418 million of debt and for the year, we repaid $557 million. We also redeemed our $275 million of our Series E preferred shares in May. We reduced our total debt and preferreds by 39% during the year, generating annualized savings of over $53 million. In May, we have a $41 million mortgage loan maturing on Parkshore Plaza in Sacramento, California and we are evaluating our options for this property. We also have $425 million of senior notes that are pre-payable at par in the third quarter. These notes have a weighted average interest rate of 6.3%. Our current cash balance is approximately $2.1 billion or $0.17 per share. We evaluate various uses for our cash including new investment opportunities, debt repayments, special distributions and share buybacks. In the fourth quarter, we repurchased 1.5 million shares for $43 million at an average price of $28.81. For the full year, we repurchased 2.5 million shares for $69 million at an average price of $27.68. Since the buyback program began in August 2015, we repurchased a total of 5.9 million shares or 4.5% of shares outstanding for $157 million. There remains $307 million authorized for share repurchase. We are well positioned for future opportunities. Our balance sheet is strong, with just $1.2 billion of debt and $2.9 billion of capacity between our cash balance and the undrawn revolver. This liquidity and balance sheet flexibility are meaningful competitive advantages. Thank you and with that, we will open it up to Q&A.
Operator: [Operator Instructions]. Our first question comes from the line of Manny Korchman with Citi. Please proceed with your question.
Manny Korchman: Hi. Good morning everyone. David, in your prepared remarks, you commented you will continue to evaluate a wide range of opportunities to deploy capital. Is there any change in how wide that range is or the opposite of how you narrowing that focus and what you are looking more at or less at right now?
David Helfand: Good morning Manny. No, really no change. I think we have tried to be consistent in talking about a focus on capital allocation and investment opportunities where we have talked focusing on office but not exclusively that we wouldn't constrain ourselves to just the current business we are in. Having said that, we would look for something where we have an edge, something where there is true value creation. So we have looked at a range of opportunities, many of them are office related but a variety of opportunities not in the office space sector as well.
Manny Korchman: Great. Just switching to the transaction markets. Are you seeing any changes in the buyer pool of who you are marketing your assets to?
David Weinberg: Hi Manny, it's David Weinberg. I am not sure we are seeing a change in the buyer pool. I think what we are seeing is something we commented on our last call, more of a change in the mindset, fewer buyers, more risk adverse and then with the little run-up in interest rates we have had, depending on what you are selling and where you are selling it, it could impact ultimate price and then execution.
Manny Korchman: And one more for you, David. The lease term fee, the large lease term fee in the quarter, could you elaborate in more detail on where that was and how much that impacted occupancy in the quarter?
Adam Markman: We had two tenants that terminated during the quarter, both of which were backfill opportunities for us. One in recently sold building in Baltimore, 111 Market and the other at 1735 in Philadelphia. The occupancy question, I don't have at my fingertips, but those were the two large terminations during the period. But again, because they were backfill opportunities, lease occupancy wouldn't be impacted by those terminations.
Manny Korchman: Thanks Adam.
Operator: Our next question comes from the line of Jamie Feldman with Bank of America Merrill Lynch. Please proceed with your question.
Jamie Feldman: Thanks and good morning. So can you just walk us through, I know you outlined the large expirations, both in 2017 and 2018, but maybe give us some color leasing prospects and your thoughts of, are these assets you plan to hold or potentially would sell?
David Helfand: Good morning Jamie. This is David. Let me kind of walk you through the roll over the next two years and try to address some of your questions. As I said earlier, in 2017 we have 874,000 square feet rolling. We expect to get about 60% of that space sacked, which is about 525,000 square feet or 3.5% of our lease square footage. Much of that is coming back as we speak. So if we take it one at a time, the largest tenant in Ann Arbor will be vacating, actually already has vacated. That's 179,000 square feet. I think as I said, either on meetings or on the last call, we are expecting to fill up that space one lease at a time, it will happen floor on floor. But then having said that, we are always looking at our assets and evaluating whether it makes more sense for us to hold on to them given the risk profile as opposed to the price we could achieve selling it as it is. So I can't speak specifically to what we will do with that asset. But as long as we own it, we will try to lease it. Another large block we are getting back this month is at 17th Street Plaza in Downtown Denver. That's 73,000 square feet. That is lower floor space .So that would be priced at a lower price point than some of the deals we have been doing recently at the upper floors. That market has slowed down. It is competitive. So we like to add assets a lot. In fact, we are spending money on it now to improve the lobby and enhance the Plaza to maintain its competitive position and we will work to get deals done there. I also commented on some space that we are getting back in Downtown Austin. That market is still doing well, despite the supply risk overall in Austin and we have already backfilled 21,000 square feet of that 48,000 square feet. Then in terms of the 20188 roll, I won't really get into specifics just because our portfolio is continuing to evolve. But I did note there will be 750,000 square feet rolling. It just so happens, we only have one large tenant, large being greater than 40,000 square feet and that one tenant, Amity Bank, will vacate 211,000 square feet in October. And like I said with our Ann Arbor asset, we will have to evaluate that office building in Downtown Baltimore and determine whether it's better to sell it as is or whether we want to take the risk and re-lease it and perhaps sell it at a later date.
Jamie Feldman: Okay. That's very helpful. Thank you. And then maybe just some color on post election as you think about your core markets? Has leasing activity picked up? Has it been flat? Has there been any changes in tenant sentiments?
David Helfand: I don't think we have seen anything yet to suggest there has been changes. We had a very strong leasing quarter in the fourth quarter. I would say our pipeline is reasonably healthy right now. And like you and everyone else, we are going to continue to monitor it for any changes coming out of the election.
Jamie Feldman: Okay. And then the last question for me, it looked liker you did buybacks this quarter at north of $28 a share. I think in the past you were only been buying below $26, Can you just talk about your thought process buying at this price versus prior prices and maybe what we can expect to see going forward?
David Helfand: Sure. Jamie, this is David. I think we have tried to evaluate the opportunity to buyback stock in the context of where are other opportunities, but as the portfolio has changed, as we discussed on the call, as cash has been a bigger portion and the quality of the assets have improved, the price at which we are willing to buyback has increased. So prices that we paid per stock in the past quarter represent what we think are a good investment in assets we know well and in performance that we see going forward and we like the stock at those levels.
Jamie Feldman: Okay. And then I guess just thinking about allocation, at what point do you feel like too much cash is on balance sheet? Maybe a special dividend or some other, I guess, options?
Adam Markman: It's Adam. As we have said when we really began his journey, we are going to continue to evaluate all opportunities and they come. So that's going to be looking at the opportunities to repay debt, looking at share buyback that just mentioned. And of course looking for new investments for assets, for portfolios, for M&A opportunities and I think until we are through all that, until we have exhausted those opportunities, we are going to play it the way we have been playing it, which is to accumulate dry powder to help balance sheet flexibility and to be ready to take advantage of any opportunity that comes our way.
Jamie Feldman: Okay. All right. Thank you.
Operator: Our next question comes from the line of Jed Reagan with Green Street Advisors. Please proceed with your question.
Jed Reagan: Good morning guys. You mentioned the increased version of the risk among buyers and maybe some impact on pricing from rate setting stepped up post election. Have you noticed that hurting the pricing you guys have been able to achieve on deals recently?
David Helfand: Hi Jed, it's David. I guess the best way for me to answer is to compare the last four, six months to the prior year-and-a-half. Because I think even, the last call and the one before that, we started commenting on noticing a slowdown of the disposition market. Up until mid-2016, I would say, we were executing a very high success rate at prices at or exceeding our expectations, More recently, it began before the election, we did notice a slowdown in transaction activity volume being just lower than it have been, fewer bidders showing up, more conservative underwriting. But having said that, that capital is still readily available, it's still been priced at very attractive interest rates compared to historical rates and there's a lot of equity surge into the equation of real estate. So it becomes very deal specific. And I would say, over the last three to six months, pricing may have not exceeded our expectations, but more often than not it's been at our expectations. But we are having deals where it's been below and we have chosen not to execute.
Jed Reagan: So would you say that softness has been accelerating? Or I guess, conversely maybe post election, some sort of moderation of that trend?
David Helfand: Well, I can't think of any deals we have taken to market or price post election. So I don't think I have data points to identify any trend yet. I would say in general, Jed, to address your question, no acceleration and no additional softening, just a flattish feeling. There is still demand, but it's not robust, but it's also not declining in terms of interest in placing money or underwriting.
Jed Reagan: Okay. That's helpful. And just going back to external growth, are you most focused on private or public market acquisition opportunities? And then can you elaborate on which nonoffice property types look most intriguing today? And would those opportunities be focused on the markets that you are targeting on the office side?
David Helfand: We are looking at both public and private opportunities, as you may imagine and I don't think it's constructive to talk about what sectors look more attractive or less. We are really looking for a specific opportunity, a specific dislocation, some way to play where we can create value with the assets we have and I am not sure the broader picture is as important as finding the right opportunity to go after.
Jed Reagan: Could that opportunity potentially change your knitting altogether where you all of a sudden become a residential focus REIT? Or would it be just maybe sort of a diversified kind of a story?
David Helfand: If we found the right transaction, it may change what we do, meaning our focus going forward might not be office, if that's what your question was.
Jed Reagan: Okay. Yes. That's what I was getting at. And then just on the stock buybacks, why not do that more aggressively at this point, just given that you have got the cash and there may not be tons of distressed opportunities out there at the moment?
David Helfand: Well, we really have retired 4.5% to shares outstanding compared to where we were in 2015 when we started this program. So I think we have been pretty impressive. I get your question, but we are, as I said before, always weighing this use of capital versus alternatives and we have authorization to buyback more now and we are continuing to have this discussion with our Board and we will let you know where we end up at each quarter.
Jed Reagan: Okay. Thanks. And then maybe just last one, it sounds like the NOI growth trajectory might slow down this year, just form the 5% from the fourth quarter. Should we think of that as potentially a negative number on an absolute basis? Or maybe positive, but just lower than that 5%?
David Helfand: I get the question and why it's being asked, but we don't provide guidance. I think there is some good pieces of information to help set where your expectation should be at least directionally. And I think that's as far as we go with that.
Jed Reagan: Fair enough. Okay. Thanks guys.
Operator: Our next question comes from the line of Mitch Germain with JMP Securities. Please proceed with your question.
Mitch Germain: Good morning. So last quarter you guys had 12 assets for sale, four sold and I guess you have eight now. Is it the population of those assets that were for sale as of the time of your third quarter call versus today? All those the seems eight assets?
David Helfand: They are not the exact same. There have been some changes.
Mitch Germain: And were those changes a function of what you guys saw in the market during the marketing process, i.e., a softer bidding pool and potential pricing? Or anything leasing related? Anything that you could share?
David Helfand: I think as it comes down to pricing did not meet our expectations and we decided there may be alternative ways to maximize the value of the asset, either by working a little more or perhaps taking it back to market when we think the dust settles with respect to that asset in that market.
Mitch Germain: Got you. I appreciate that. And last one for me, say we sell these eight assets, you guys are left with 25. I mean, in your mind how much of the portfolio at that point you are willing to live with versus how much you still consider to be somewhat non-core?
David Helfand: Well, I would say we are willing to live with all the properties we own today which is 32. We have really circled a core and non-core portfolio per se. We have identified smaller assets, nonoffice assets that we think we shouldn't own long term and we are continuing in trying to sell those. But living with these assets, 32 properties, 15.5 million square feet, 91% leased, we are very comfortable where we are.
Mitch Germain: Thank you.
Operator: Our next question comes from the line of John Guinee with Stifel. Please proceed with your question.
John Guinee: Great. Thank you. First, Adam, you mentioned roughly $465 million of maturities open to repayable at par sometime in 2017. You didn't mention this $400 million of term loan. So are those open to repay anytime and why wouldn't you repay them?
Adam Markman: Yes. They are open and clearly that is one of the many things that we evaluate in terms of the uses of our cash.
John Guinee: Okay. And then refresh our memory as to what's going on in Bellevue with Expedia and Boca Raton with Office Depot?
David Helfand: Sure. John, it's David. So in Bellevue, Tower 323 or the Expedia building, Expedia's lease expires December 2019. As we have discussed before, they did buy a campus in Seattle, about 40 acres and the expectations are they will vacate at the end of their lease. There is a chance they would keep a satellite office in Bellevue, too early to know. But as I said in my prepared remarks, the outlook on Bellevue right now is much better than it was a year ago. So we have got some time in front of Expedia and we will just have to see how that plays out. And then Office Depot, so they leased 640,000 square feet three building property in Boca. Their lease expires October 2023 and one again we are in front of them, but with that term, it's too early to know what their plans are at that time.
John Guinee: Do they occupy the entire building?
David Helfand: They do. It's actually three buildings connected to form one property.
John Guinee: Got you. And then is the Research Park, the 1.1 million, where I think Flextronics just renewed, is that in fact a flex building or is it a low-rise office building? Would you describe in a little more detail?
David Helfand: Yes. I would describe it as an industrial building that's been expanded over time. They have got some second floor office space, as you think about just kind of building out some commodity space in an industrial building, how sometimes you see that. And then, more importantly, it sits on about 167 acres of the land.
John Guinee: With additional FAR?
David Helfand: We believes so.
John Guinee: Great. Okay. Thank you.
Operator: Our next question is from Jed Reagan with Green Street Advisors. Please proceed with your question.
Jed Reagan: Hi guys. Just following up on that. Now that you have gotten that bigger renewal done, is that a core part of the portfolio, the flex building in Austin?
David Helfand: Well, we liked Austin in terms of that asset specifically. We not only have gotten the renewal done, what we are really focused on is better understanding the development rights, not necessarily because we are going to develop it, but if we choose to sell off a parcel or the whole property, we want to make sure we are maximizing the value.
Jed Reagan: That makes sense. And then I think you have got at least one asset on the market in Downtown Philly. Is there any update you can provide on that process?
David Helfand: It's still in the marketing process or the sales process and as we said earlier, things are just taking longer.
Jed Reagan: Okay. But you still feel good about that as a non-core disposition at this point?
David Helfand: Well, I feel good either way. Either we sell it at a price we expect it to sell it for or we hold it and given all the leasing we have done there, there is a lot of embedded growth at that property. So we are good either way.
Jed Reagan: Okay. It makes sense. And then there has been talk that 1031 exchanges could be under the gun if there's major tax reforms in the new administration. How are you guys thinking about the potential implications of that for the transaction markets? And could that effect your capital market strategy at all?
David Helfand: Well, on the sell side, we closed some 40 different transactions over two years. I don't think, I maybe wrong, off by one, I don't think we have ever had a buyer structured 1031 exchange. So we haven't seen an impact today on just that whole 1031 buyer mentality. So I wouldn't expect any impact on the floor for us. But things could change, don't know.
Jed Reagan: Okay. Thanks very much.
Operator: Mr. Helfand, we have no further questions at this time. I would now like to turn the floor back over to your for closing comments.
David Helfand: Thank you. Thanks to everyone for joining us. We appreciate your interest in Equity Commonwealth. Thanks.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.